Operator: Good afternoon, and welcome to the Novavax Third Quarter 2022 Financial Results and Operational Highlights. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Silvia Taylor, Executive Vice President, Chief Communication Officer. Please, go ahead.
Silvia Taylor: Good afternoon, and thank you all for joining us today to discuss our third quarter 2022 operational highlights and financial results. A press release announcing our results is currently available on our website at novavax.com, and an audio archive of this conference call will be available on our website later today. Before we begin with prepared remarks, I need to remind you that this presentation includes forward-looking statements, including information relating to the future of Novavax, its key strategic priorities, plans and prospects for 2022 and financial guidance, including total revenue, the ongoing development of our vaccine candidates, including anticipated timing of trials and results; the scope, timing and outcome of future regulatory filings and actions; the efficacy, safety and intended utilization of our vaccine candidates, including against COVID-19 variants; the global market opportunities for our vaccine candidates, our manufacturing capacity and the future availability of our vaccine candidates and key upcoming milestones. Each forward-looking statement contained in this presentation is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears under the heading Cautionary Note regarding forward-looking statements in the slide deck we issued this afternoon and under the heading Risk Factors in our most recent Form 10-K and our third quarter Form 10-Q filed with the Securities and Exchange Commission and available at sec.gov and on our website at novavax.com, as well as subsequent filings with the SEC. The forward-looking statements in this presentation speak only as of the original date of this presentation, and we undertake no obligation to update or revise any of these statements. During this call, in order to provide greater transparency regarding our operating performance, we refer to certain non-GAAP financial measures that involve adjustments to GAAP results. Any non-GAAP financial measures presented should not be considered to be an alternative to financial measures required by GAAP, should not be considered measures of liquidity and are unlikely to be comparable to non-GAAP financial measures provided by other companies. Any non-GAAP financial measures referenced on this call are reconciled to the most directly comparable GAAP financial measure within the Investors section of our website at novavax.com. Now please turn to slide four. Joining me today is Stan Erck, President and CEO, who will provide an update on our recent progress in our upcoming strategic priorities. Additionally, Dr. Filip Dubovsky, Chief Medical Officer, will discuss our clinical development across our pipeline, and John Trizzino, Chief Commercial Officer and Chief Business Officer, will provide an update on our commercial progress and our outlook for 2023. Finally, Jim Kelly, our Chief Financial Officer and Treasurer, will provide an update of our financial results. Dr. Greg Glenn, President of Research and Development, will also be available for the Q&A section at the end of today's call. I'd now like to hand the call over to Stan. Please turn to slide five.
Stan Erck: Thanks, Silvia. Good afternoon, and thanks for joining our third quarter earnings call. In addition to the financial report that Jim Kelly will give, Filip will provide our update on important clinical data that we are accumulating, which continue to highlight the advantages offered by our adjuvanted protein-based vaccine. And following that, John will discuss our commercialization efforts. But first, let me start with the financials. Jim will provide you more details, but the highlights include; revenue for the quarter was $735 million. This met our target for the quarter and bring us to $1.6 billion in revenue for the first nine months of the year. During the last quarter, we continued to gather data that supports the differentiation of our vaccine. We believe these differences are important and are a predictable consequence of our vaccine technology.  When our nanoparticle antigen is formulated with Matrix-M, it generates a very broad and long-lived immune response, which we believe has advantages in the face of the continued emergence of new variants. We believe that these differences will allow us to deploy a vaccine that may not require bivalency. Novavax's vaccine has been granted regulatory authorizations globally. In the third quarter, we received Emergency Use Authorization from the United States, representing the last major market in which we have obtained authorization for use. Throughout the year, we have been developing data with our many clinical trials across the globe that support the advantages of our vaccine. And together, we believe these advantages will be the basis for the continued long-term expansion of our products in markets throughout the world. We now have data supporting Nuvaxovid's durable immune response that achieves levels associated with protection in our Phase 3 trials, With the ever mutating COVID virus, we want a vaccine that can stimulate an antibody response across any variant that arises. And while we can't predict the future, we can show that our vaccine has a breadth of response that covers all of the variants that we've measured to date, including alpha, beta, delta and BA.1 through 5. This is important for obvious reasons. But it should be pointed out that we don't have any data which suggests that it's a good decision to switch to a BA.5 vaccine given that our current vaccine stimulates levels a BA.5 antibody that should be protective. Our data also shows -- show that we have an 82% prevention of infection over an extended period and plus our data continues to provide confidence in the use of our vaccine and its safety -- its favorable safety and tolerability profile. Our mission must be to remind and educate the regulatory and policy bodies that as a protein-based adjuvanted vaccine, our vaccine is different from what's on the market. As long as we continue to demonstrate that our current vaccine stimulates a relevant immune response against circulating variants, we believe our current vaccine will be a good choice for ongoing vaccination campaigns. And importantly, it has the added advantage that when you continue to boost with the same vaccine, you continue to see maturation of these responses with the expectation that you'll see more effective and longer-lasting responses. When we see data that suggests the need to update our vaccine with a new strain, we will. We will do so with either a monovalent or bivalent vaccine based on data that we then have and relevant policy recommendations at the time. There may be some public health agencies that prefer either a strain change or bivalent vaccine, and our plan is to develop in parallel, a variant containing monovalent and bivalent vaccine. Switching topics. We have mentioned in the past that we have been collaborating with the Serum Institute and Oxford University on a new malaria vaccine that includes our Matrix-M adjuvant. I'm very pleased that Adrian Hill of Oxford University presented a very high-level summary of Phase 3 efficacy data at a late breaking session of the Tropical Disease and Malaria Conference in Seattle last week. More detailed safety and efficacy data will be available when approved for publication later this year. Going forward, we believe that we're in a very good position. We have a global manufacturing capacity to support our planned sales of Nuvaxovid. This capacity will also support our pipeline vaccine candidates for flu, for combination flu COVID and for malaria. And we now have a global marketing and regulatory presence to support our goals for 2023 and beyond. I'll now turn the call -- the presentation over to our Chief Medical Officer, Filip Dubovsky, who will be followed by John Trizzino, our Chief Commercial Officer and our Chief Financial Officer, Jim Kelly. We will end with a session of Q&A.
Filip Dubovsky: Thanks, Stan. Since the last call, we have developed a significant amount of new clinical data. Today, I'm going to review data from Study 307, which is our lot to lot consistency study that includes boosting on top of two and three doses of mRNA. Then, I'll describe preliminary findings from 311, our strain change study that evaluated boosted responses to a prototype vaccine, Omicron BA.1 vaccine and bivalent vaccine when given on top of three doses of mRNA vaccine. But first, I want to review some findings we have recently disclosed. Please advance to slide seven. From our UK study, we recently published that our vaccine had 82% efficacy for preventing all infections over six-month observation period. This was despite the majority of cases being caused by the alpha variant. Protection from infection is important, because if you don't get infected, you can't transmit virus, you can't get sequelae for COVID, and you can't get long COVID and you can't be the source of new variants. In our adult US-Mexico Phase 3 study, we achieved a formal regulatory endpoint supporting boosting in the US population, and we demonstrated a durable immune response, as well as a broad immune response that includes cross-reactive antibody levels directed against Omicron variants that were consistent with levels associated with protection in our Phase 3 studies. In our adolescents Phase 3 study, we made the regulatory endpoint for boosting in 12 to 17-year-olds and show the hemologic responses to Omicron variants were comparable to those associated with protection. Okay. Let's go to slide eight and talk about Study 307, which is our lot to lot consistency study. For this study, I'll discuss data supporting the achievement of our lot-to-lot endpoint and the magnitude and breadth of the heterologous boosting response. This is still preliminary data and additional immunologic assessment is ongoing. So let's move to slide nine, please. Study 307 enrolled 911 adults in the US who had no history of recent COVID infection and who had received two or three doses of an approved COVID vaccine with the last dose being at least six months prior to enrollment. As you can see on this slide, most of our subjects received two or three doses of either Moderna or Pfizer. If you received one or two doses of J&J and a very small number had received two doses of Novavax. After enrollment, all subjects were boosted with one of three different lots of Novavax vaccine and the serum was collected at day 28 for hemologic assessment. Let's move to slide 10. Demographics show the three lot groups were well balanced. The racial makeup was broadly representative of the general US population and the median interval prior to the Novavax boost was approximately nine months. Let's go to slide 11 and look at the primary endpoint. As you can see here, the primary endpoint of non-inferior immunogenicity was achieved, as measured by anti-S IgG titers at day 28. This was the regulatory endpoint confirming consistency of our manufacturing process. You can please note the extremely tight confidence intervals here. But let's look at the immune responses following heterologous and homologous boosting on slide 12, please. Because most of the subjects in this trial received the Novavax vaccine as a heterologous booster, we had the opportunity to evaluate the magnitude and breadth of immunogenicity in different subsets. Shown on the far left are IgG responses in a small group of seven subjects who received two doses of Novavax's priming series followed by a single Novavax boost. We're also showing responses for those who received two prior does of Moderna, two prior doses of Pfizer, and one dose of J& J. A super imposed a closer protection threshold derived by the US government based on our US Phase 3 trial and the actual Phase 3 levels we obtained in our two Phase 3 studies. The post-booster levels we saw in this trial matched or exceeded the levels achieved in the Phase 3 efficacy study. Consistent with what we've seen previously, we observed the highest antibody titers for the homologous Novavax boosting subset. Okay, let's go to slide 13 and look at heterologous boosting on top of three doses of mRNA. This is a similar set up to the previous slide, but for the group's received three prior doses of Moderna or Pfizer or two prior doses of J&J. So, a full primary course plus one prior boost. In each of these subsets, the antibody levels exceeded the Phase III levels. And for the mRNA recipients levels were approximately 20% to 30% higher than we saw in the previous slide with priming was just two doses of mRNA. The group with two doses of J&J had broad conference intervals because of the small sample size. Now, let's look at slide 14 to look at the breadth of immune response. Here, we evaluated IgG responses to prototype and to Omicron sub-variants BA.1 and 5. we are displaying the two doses of Novavax boosted once with Novavax as a solid bar on the far left hand side of each triplet. And as compared to three doses of Moderna or three doses of Pfizer boosted once with Novavax. In all cases, IgG titers achieved levels predicted to be or protection was approximately 88% to 95%. As before, the highest antibody titers against both prototype and variants were in homologous Novavax boosted subjects. In summary, we believe the 307 findings are important both because they confirm consistency of manufacturing, which is critical for vaccine life insured in the US and because they showed robust immune responses to prototype and variants after homologous and heterologous boosting with post-boosting antibody levels approximating those levels associated with protection in our Phase 3 studies. So, let's move to slide 15 and talk about the next study. Now, I'll review the topline data from study 311. The study was designed as a strain change study and evaluated the performance of our prototype vaccine and Omicron BA.1 vaccine and a bivalent format vaccine when given after two and three doses of mRNA. So, let's go to slide 16, the design. The study was conducted in Australia in adults 18 to 64 years of age. The participants received two or three doses of mRNA and were boosted with either our prototype vaccine, the BA.1 vaccine, or the bivalent vaccine. Today, I will only talk about participants who received three prior doses of mRNA and who are boosted at least 90 days after their last dose. So, let's look at demographics on slide 17. The study groups are well balanced with facial group's representative of the overall Australian population, the participants received their boost the median of 180 days after their last mRNA dose. You can see that Australia did a better job of controlling infection is a relatively large proportion of this group did not have evidence of prior COVID infection. So, let's look at the endpoints on slide 18. The primary endpoint for the strain change portion was pre-specified to be in a three-dose group and participants who had no prior COVID infections. We compared the day 14 neutralizing responses against BA.1 in the three treatment groups. In the first column, we compare BA.1 in closed responses after being boosted with BA.1 vaccine to the BA.1 responses after being boosted with prototype. This was a strain change endpoint. And because the BA.1 vaccine responses against BA.1 were higher than those induced by the prototype vaccine, the study achieved a statistical endpoint, allowing for a strain change, if eventually needed. Let's get a click. The second column compares a bivalent vaccine to prototype. The responses were similar, with the conference intervals overlapping one. And the final column compares the bivalent vaccine to the BA.1 vaccine and the responses were lower for the bivalent vaccine. Let's have a click. So as far as the BA.1 responses go, the data does not support a measurable benefit for the bivalent vaccine. Okay. Let's look at some comparative data on slide 19. Here, we're looking at IgG responses against BA.1 and all the participants who received three prior doses of mRNA vaccine. This group most closely resembles the general population. Here, the responses were similar between all three vaccines. Although, when boosted with our prototype, it was numerically higher by about 15%. Please advance to slide 20. Here, we're looking at IgG responses against prototype the Wuhan strain. Once again, the responses were statistically comparable, with up to a 20% numerical benefit for boosting with the prototype vaccine. Of course, neither prototype nor BA.1 are in circulation currently. So let's look at forward different strains. Slide 21, please. Displayed here is a neutralization response against BA.5 measured in functional pseudoneutralization assay. BA.5 is an omicron subvariant that was not in any of the vaccines, but it's related to the BA.1, so we would expect a superior response with BA.1 vaccine. However, there was no benefit observed for either BA.1 vaccine nor the bivalent vaccine compared to the prototype vaccine. In fact, the prototype vaccine get numerically higher responses. This indicates that boosting with our current vaccine is a viable approach and be considered as a future-proof strategy for emerging variants. Okay, let's look at some reactogenicity on slide 22. When given as a second boost dose for all three formulations, they were similarly well tolerated with patterns consistent to what we've seen previously. Here are the most common local reactions are pain in tenderness, the vast majority being none, mild or moderate in severity. Let's go to slide 23 and look at solicited systemic symptoms, and the pattern is also very similar to what we've seen previously, with very low rates of grade three events and a negligible fever signal. Okay. Let's sum this up on slide 24. So to sum up, we believe our data supports the continued and future use of NVX-2373 as a booster. From our US-Mexico Phase 3 study using our prototype vaccine, we have described a durable immune response and the hemologic data indicating that the levels achieved against drifted Omicron variants were consistent with levels associated with protection in our Phase 3 studies. Today, I showed you data that when we are used as a heterologous booster after two or three doses of authorized vaccine, we achieved broad immune responses against drifted Omicron variants. And the magnitude of these responses are considered to be protective when applying the NIH US government calls of protection thresholds. Finally, our study with Omicron BA.1 vaccine and bivalent vaccine indicated no measurable benefit over our prototype vaccine. So when we think about what will be causing illness over the next few months, it will not BA.5, where there's some variant that is yet to emerge. The vaccine that induces high levels of cross-variant responses might be appealing as a way to future-proof the ongoing boosting effort. Importantly, the vaccine is currently stocked and can be deployed immediately. Finally, because this is our original vaccine, we have confidence in the preexisting long-lived safety database. This may be a feature that's attractive to individuals who are hesitant to be boosted. Okay. Let me turn it over to John Trizzino.
John Trizzino: Thank you, Filip. Thank you. Our doses delivered to date also include over 19 million doses by our strategic partners, Serum Institute of India, SK Bioscience, and Takeda licensed territories. We remain in ongoing discussions with our customers around the world, including the EU, US, Canada, UK, Australia and others, to ensure optimal supply of doses through the remainder of the year and into 2023. Notably, in the UK, we delivered an initial 1 million doses in the third quarter. We are in active discussions with the UK Health Services Agency around supply and continue to provide data to JCVI to support policy recommendations for boosting in adolescents and expect to receive MHRA approval for adult booster imminently. In the EU, we are expanding our presence and strengthening our partnerships for now and well into the future. To support this, we are in the process of finalizing a revised delivery schedule for the remaining 23 million doses committed under our APA. In the US, we remain in ongoing discussions around additional supply of our COVID vaccine now available for boosting of adults 18 and over. Please turn to slide 27. We continue to closely monitor the market landscape and we believe the current global vaccination trends and the upcoming winter respiratory season present an ongoing near-term opportunity to drive uptake of our vaccine. In the US, according to recent CDC data, around 39% of adolescents have yet to complete their primary vaccination series. Additionally, around 47% of vaccinated adults have yet to receive a first booster dose. Additionally, in the UK, Germany, France, Italy, and Spain, around 48% of adolescents have yet to complete their primary vaccination series and around 20% of vaccinated adults, aged 18 to 59, have yet to receive a booster. With authorization now received for primary vaccination in adolescents in the US, EU, and UK and for a booster dose in adults in the US and EU, our recent label expansion aligns with this market need. Outside of the US and Europe, we see similar dynamics that present additional near-term opportunity to expand the portfolio of vaccine options and appeal to those not yet vaccinated or not yet boosted. In fact, we have already begun to see encouraging evidence of health care providers and consumers utilizing our vaccine as a booster dose. Based upon available data through October, around 60% of Nuvaxovid doses administered globally have been used as a booster. Please turn to slide 28. Our key focus to capture the near-term and long-term market opportunity is to expand our label to include adolescent boosting based upon the compelling data Filip discussed today and in the US, to also include additional booster doses in adults. Alongside this, we will also focus, as always, on gaining supportive policy recommendations. These efforts will build upon our label expansion to-date, which includes authorizations for primary vaccination in adults over -- in over 40 countries, authorizations for primary vaccination in adults in the US, EU and 11 additional countries. Authorizations for boosting in adults in the US, EU and six additional countries. Please turn to slide 29. Looking to the long-term COVID-19 market opportunity, we expect to see a transition to a commercial market in the US and other key regions in 2023. With clear evidence that the virus is not going away, we expect an ongoing need for annual seasonal vaccination, resulting in a recurrent COVID-19 booster market. And we believe this opportunity will be larger than the annual influenza market due to COVID-19's greater burden of disease and higher infectivity rate. In the US, we believe an annual booster market in 2023 and beyond can include around 225 million individuals, which is significantly larger than the annual US flu market in recent years of 170 million to 190 million individuals. In the UK and the other key markets in the EU, we believe this could be around 250 million individuals. This potential recurring opportunity includes individuals that have already received their first booster dose, as well as individuals that have been fully vaccinated and are eligible to receive a booster. Importantly, beyond these geographies, we believe that a similar sizable and recurring booster opportunity will also take shape in other key markets, including Asia Pacific. Please turn to slide 30. As we look toward this long-term market, we believe our competitive product profile will differentiate our vaccine among health care providers and drive adoption among consumers. As Filip discussed today, we continue to build on our existing body of clinical evidence with additional data to demonstrate our vaccines key benefits, such as its high efficacy, strong durability of immune responses, protection against infection, favorable safety and reactogenicity profile and importantly, its breadth of immune responses against a broad range of variance. We believe these key benefits, coupled with our vaccines well-established technology platform and favorable transportation and storage profile, create a competitive product offering. Based upon our data generated to date, including initial results announced today for our Omicron variant vaccine program, our commercial strategy is to continue deployment of our prototype vaccine. With that being said, as Filip mentioned, we will continue to generate additional data and be prepared to supply a variant-specific vaccine, if supported by data or requested by our customers. Regarding commercial strategy, please turn to slide 31. With strong foundational elements in place, we are executing our robust commercial strategy. I'd like to highlight a few of our key commercial priorities that we believe will drive success in 2023 and beyond. First, we are expanding our commercial footprint in priority markets. We have established our EU regional office in Switzerland, are expanding our commercial structure in the Americas, including US, Canada and Mexico, and building our commercial presence in Asia Pacific. In parallel, we will continue to partner with local policymaking bodies to advance supportive policy recommendations. This will be critical to ensuring widespread access and capturing a significant share of the anticipated recurring market outlined today. We are also building brand awareness among health care professionals and consumers through a comprehensive marketing strategy to communicate our vaccines' strong data and key benefits. In an effort to position Novavax as a key player in a commercial market, we are also developing our commercial network and building relationships with key stakeholders such as pharmacies and purchasing groups. We will be transitioning to single-dose vials and expect to make available prefilled syringes in 2023 in order to enable easier administration and lower waste of doses, serving as a competitive advantage for our product. We believe ongoing execution of this global commercial strategy coupled with our vaccines competitive product profile, will support our long-term success and solidify our role in the recurring COVID-19 market. I will now hand it over to Jim to discuss our financial results for the third quarter.
Jim Kelly: All right. Thank you, John. This afternoon, we announced our financial results for the third quarter of 2022. Details of our results can be found in our press release issued today and our 10-Q filing. I will begin by providing an overview of our third quarter 2022 total revenue performance, net income, and cash position. Then I will discuss our quarterly results in additional detail, as well as provide commentary on our refined full year 2022 revenue guidance. In the third quarter of 2022, we recorded $735 million in total revenue compared to $179 million in the prior year. Total revenue for the third quarter included $626 million in product sales based on 35 million doses sold by Novavax. Grant revenue of $106 million in the third quarter of 2022 includes revenue on the delivery of 3 million doses to the US government and compares to $135 million in the prior year. Additionally, we recorded royalty and other revenue in the third quarter of 2022 of $2 million. Our cost of sales for the third quarter of 2022 were $435 million. I'll discuss this in a bit more detail on the next slide. R&D expense for the third quarter of 2022 were $304 million compared to $408 million for the comparable period in 2021. The decrease was primarily the result of a $98 million benefit from settlement of the manufacturing agreement. Additionally, we recorded selling, general, and administrative expenses of $123 million in the third quarter of 2022 compared to $78 million in the third quarter of 2021. The increase in the period was primarily the result of activities in support of the commercialization of Nuvaxovid. For the third quarter of 2022, we recorded a net loss of $169 million compared to a net loss of $322 million in the third quarter of 2021. And finally, we continue to maintain a full tax valuation allowance, and we ended the third quarter of 2022 with $1.3 billion in cash. Please turn to slide 35. Cost of sales for the third quarter of 2022 were $435 million. This amount includes $249 million related to excess, obsolete, or expired inventory and losses on firm purchase commitments. The recognition of these costs was driven by our efforts to align our supply and third-party future purchase commitments with anticipated demand for Nuvaxovid. If inventory sold for the third quarter was valued at expected standard cost, adjusted cost of sales for the period would have been approximately $444 million, an increase of $9 million as compared to cost of sales recognized. Nuvaxovid gross margins on sales to high-income countries are expected to be between 70% and 85% of product sales. As noted earlier, we are refining our full year 2022 total revenue guidance to approximately $2 billion, the low end of the previous guidance range of $2 billion to $2.3 billion. As a reminder, total revenue reflects all sources, including product sales of Nuvaxovid by Novavax, grant revenue, royalties and other revenue. We look forward to sharing additional updates as we progress in the upcoming quarters. With that, I'd like to turn it over to Stan to discuss our upcoming strategic priorities.
Stan Erck: Thanks, Jim. So you turn the slide, please. With the strong third quarter reported today, we are pleased with the momentum we're generating across our business. Moving into the end of the year, we are focused on executing against our key strategic priorities, and these include, delivering doses globally to achieve our revenue guidance, ongoing expansions to our label and supportive policy recommendations for Nuvaxovid and initiating our Phase 2 trial for our COVID-19 influenza combination vaccine and stand-alone influenza vaccine by the end of this year, which will enable a Phase 3 efficacy trial expected to start in 2023. So as we prepare for the upcoming winter COVID season, as well as 2023 and beyond, we believe we are well positioned to be a leading provider of COVID-19 vaccines. And as you've heard today, through our data generated to date, we are confident in our prototype vaccines competitive profile, including its durability of immune responses, its ability to address a broad range of variants, its protection against infection and storage and handling benefits. We believe these differentiated factors, along with our ongoing label expansion, Global manufacturing and supply network will allow us to capture a meaningful share of the recurring COVID-19 market. So thanks for your attention, and I'll now turn it over to the operator for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question today will come from Roger Song with Jefferies. Please, go ahead.
Roger Song: Great. Thank you and congrats for the quarter. A couple from us. The first one is the variant specific vaccine. So given the data you presented today, seems the bivalent have less immunogenicity against the monovalent? So just curious, what is the plan for the variant-specific vaccine moving forward, monovalent versus bivalent? And what kind of variant you plan to do moving forward, given so we are having new variants almost every once a while? I'll have a couple of follow-ups.
Filip Dubovsky: Thanks. This is Filip. I mean, Stan and John both mentioned that we do plan to develop a variant vaccine as well as a bivalent to realized service market as needed. But your observation is right. I mean, what we saw is that our responses against BA.5 were very good. And the transmission or the amount of infections caused that BA.5 is plummeting. So, it's less of a relevant strain for us to pursue. So, we're actually shifting plans a little bit, and we're pushing forward with the BQ.1-1 variant. And we're going to develop that up and take that into the clinic and also formally that is a bivalent product. Whether time will tell whether that's required or whether the customers want such a vaccine. But the timelines will allow us to bring that really to the market in a time when the Southern Hemisphere should be surging in the second quarter of next year.
Roger Song: Great. Thank you. Okay. All right. So, the next question relates to the financials. Just curious what is the -- I know you're reaffirming the guidance for second half to the entire year for $2 billion. Just curious, in 4Q so far, what have you been seeing? And what's the preorder looking like? And how did that compare to the 3Q you just reported?
John Trizzino: Yes, John Trizzino. We're confident with our order book at this point through the end of the year. And I think that we're being conservatively cautious about what deliveries we think we'll be able to make toward the end of the year as we get into the holiday season and product being shipped out and received during that period of time. So, I think the guidance is still strong and just adjusting and refining a bit down to the low end of the range.
Roger Song: Awesome. Okay. Maybe just last one from us. Just looking ahead for 2023 and 2024, if I calculate this right, you probably have around like 150-plus APA -- 150-plus doses for APA. So, just curious how should we think about the rest of the APA and when they will start to fulfill in the coming years?
John Trizzino: Yes. It's really difficult to predict what 2023 is going to look like and by way, hesitate to even whisper at guidance at the moment. I think with the transition to more of a commercial market, looking at variant strains or bivalent strains as a possibility and then thinking about what those markets will look like in policy recommendations. As I think -- you've even heard from some of the other manufacturers, it's a little bit challenging to assess at the moment. I think what will happen as we come through the next couple of months, look at what our book of business looks like and it still remains strong, I think we'll have a determination about whether it's existing APAs or incremental business coming into 2023. I think we -- the messages that I make should be reinforced, which is that the virus is not going away. We still have variant strains emerging. It looks like we're going to have a Southern Hemisphere boosting season as well as Northern Hemisphere in the fall again. And I think this overall market size is going to be larger than the existing flu market. So, while we would rather not be thinking about the downside of the virus, we have to be prepared and that's what the purpose of the vaccine is. And I think more will come in the next few months.
Roger Song: Okay. Look forward to that. Thank you for taking the question and that’s all for me.
Operator: And our next question will come from Georgi Yordanov with Cowen and Company. Please, go ahead.
Georgi Yordanov: Hello, everyone. Congratulations on the progress. So a few on our end. The first one, I guess, for Filip, I'm not sure if I missed that, but one of the most crucial pieces of data that we thought was missing from this morning's release, was the full increase in neutralization titers for the three different products that you looked at. This has been basically kind of like the main factor that regulators and the scientific community has been looking at. So we thought that, that would be interesting to have. And then we have a couple of follow-ups. I guess, the question is, can you provide that on the call, or if not, when can we expect to see it?
Filip Dubovsky: Yes. We haven't prepared that data for disclosure today, and I'm not sure we have specific plans of when we would disclose that. I mean, the fold increase certainly is interesting. That shows the ability of a product to boost. But in my mind, what's actually more relevant is the absolute titers achieved after you boost, because that's going to translate directly into protection, especially if you think about the breadth that we demonstrated today, I have a lot of confidence that what we have in hand now is relevant to the currently circulating strains, a point that Greg, my boss likes to make is, we're not claiming this as universal vaccine. We're ever vigilant and we test each of the new variants that come up to assure ourselves to immune sponsors that we're inducing are really relevant for that. So I think you're going to have to hold on until we come up with -- until we announce a plan of how to announce additional data on the study.
Georgi Yordanov: Got it. I guess, like, the only -- the power issues that basically a lot of our consultants see, the correlative antibody protection is quite problematic in the community and just because we haven't had enough data. So that's why it will be important to see that data from you specifically to fold increase.
Filip Dubovsky: Let me just comment on that, because I think you know the following publication, and that wasn't developed by us. That was developed by MH and USG in that publication, they found that the better core protection for our specific vaccine was actually IgG. And it's a different from what they found for other vaccines, where they thought that neutralizing antibody was a better protection. But I showed you data today on pseudonits for BA.5 and those were really comparable among the treatment groups. And that gives us the confidence to believe that our prototype vaccine we have in hand now is relevant to what's circulating.
Georgi Yordanov: Got it. And then, maybe specifically on the FDA label. Maybe, can you walk us through the steps of how do you think you can kind of, like, remove that restriction is only being used as a first booster? I guess, you've presented some of the lost consistency data that supports that. So if you can just help us understand the time lines to when could we expect that to happen?
Filip Dubovsky: Yes, that's right. I mean, this is what we were asked to develop and we had been developing, is where it looks like when we use our booster, not only is the first boost but it's a second boost. And that's the data I showed you both from study 307 and 311, and that data is being really prepared now for our submission to the FDA. This is kind of a unique position we are in the US. As you know, globally, we don't have a label restrictions on the first versus second or third or subsequent boosts. Be that as it may, the data is being pulled together and is being prepared for submission. I want to perhaps remind you that some of the studies that the FDA does not like to consider like our 101 study did, in fact, have multiple boosts up to four doses, and that has been considered by other regulatory agencies.
Georgi Yordanov: Got it. And then finally, a question just on the commercial side. As we kind of start to think about the potential commercial market transition in 2023, maybe, John, can you talk about like when this contracting usually started? Have you had any initial conversations? Some of your competitors have mentioned that that they are in conversations with the EU and other markets? And specifically for the US -- sorry to be too US-centric, but our understanding is in order to be covered by a commercial insurer, you would have to get full approval by the FDA. Can you update us on do you believe you can get there in time for those contract negotiations? And where do you stand with the full BLA submission?
John Trizzino: Yes, Georgi, those are great questions. Thank you. So, listen, each one of those contract negotiations is kind of different around the globe. Right now, we're still under EU commission discussions, and it could be that through 2023. That's the basis for the existing APAs and any reordering that would come. Similarly, in other countries like Australia and Canada, we'll have some unique contract, and we likely expect that those countries will stay under the existing kind of APA structure with the opportunity for incremental purchases as well. So, we're in constant communication around the globe where we're already engaged and talking to those procurement authorities about what that's going to look like. In the US, in particular, we will not have any restrictions with the private payers or the government payers with the EUA in place. Those are conversations that we've already had and are confident in our positioning while we're under the EUA. So, the EUA will have some very minor implications to us who ultimately will be filing for the BLA during the course of next year, but not having the BLA fully approved, we'll not restrict us in the fall booster campaign.
Georgi Yordanov: Got it. Thank you so much.
Operator: And Our next question will come from Mayank Mamtani with B. Riley Securities. Please go ahead.
Mayank Mamtani: Good after team. Thanks for taking our questions. So, maybe just following up on that last throw off questions. So John, in context of doses that are remaining as part of, for example, the US APA. Is there an absolute minimum that you have to satisfy before you, kind of, work towards the private commercial payer kind of setting? Is there something that has to happen as part of the APA before you could play out the other vaccines in the private market? And then I have a couple of follow-ups.
John Trizzino: I don't think I quite caught all that, Mayank, but are you referring to the ex-US APAs or the EUA in the US?
Mayank Mamtani: Excuse me, I was referring to the US APA, the current 110 million doses contract that you have, is there some sort of a minimum you have to satisfy before we can sort of think of a private market in 2023 and beyond?
John Trizzino: Yes. No. I mean, while that contract is still in place, I think likely we're going to see a movement to traditional procurement. And again, it's really hard to say when. But if we're keying off of what happened this year, you would think that there would be a full vaccination campaign. We'll learn probably early in the year about what that process is going to look like, what strains are being expected, what vaccine format the US government is going to want. So I think that's why the comments I made earlier are, let's kind of stay tuned through the balance of the year and into Q1 as we see how that unfolds, whether the US government will fund the purchase of additional vaccine or they will rely on the public private market to take that over during the course of 2023. So I think, its stay tuned, but I think likely, you're going to see procurement taking place in the commercial market in 2023.
Mayank Mamtani: Okay. Thank you for clarifying that. And then on the fourth quarter, delivery estimates that you have, it looks like you only need, I think, an incremental 15 million doses to get to that $2 billion refined guidance. Can you confirm that what countries you could get that from? Is that basically EU, UK and Australia and New Zealand? Is that essentially the countries and customers that just -- can you just clarify that?
John Trizzino: Well, I think, the guidance is kind of clarifying that. I don't think we're going to give specific doses by country. But it will likely be across all of our APAs in varying dose amounts, but we're not going to disclose what those specifics are country by country.
Mayank Mamtani: Understood. And then, on the R&D expenses, just quickly, it looks like it did come down quarter-over-quarter, but it was a result of a manufacturing agreement. Can you speak to what leverage you may have going forward? As you think about fourth quarter, but also next year and recognizing that you're being very strategic about investing behind trials and scaling up for the variant-specific vaccine.
John Trizzino: Certainly. When you look at our R&D expenses this quarter, you're correct, it was about an $98 million benefit. So of course, that would taking you up to about $400 million. We do expect some continued decrease in R&D as we bring more of our manufacturing capabilities online, capitalize on the inventory, including our CZ plant. So you'll see some trending down there over time. I would say that in this period as well, we had a bit of an offset of some ins and outs of the benefit from capitalizing our CZ plant. And then we also had some, I'm going to call it, R&D-related manufacturing activities that we wrote off that I wouldn't expect in future periods. So you'd be correct to see a trending down R&D in some future periods.
Mayank Mamtani: Thanks for taking my questions.
Operator: And our next question will come from Eric Joseph with JPMorgan. Please, go ahead.
Unidentified Analyst: Hi. Suzzana on for Eric. Thanks for taking the question. Just a few from us. So, first, I was just wondering if you could talk about the impact of COGS that can occur from migrating Nuvaxovid to a single administration sense format? And relatedly, what would you need to do in terms of additional supplemental approvals to getting that strain product out? And then also just on the RSV front, just wondering how your thoughts have evolved as it relates to entering the RSV and given the success of the perfusion competitor?
John Trizzino: You're really hard to hear in the first part of that question. Would you mind just kind of repeating, please?
Unidentified Analyst: So first part of the question, impact-related COGS from the [indiscernible] product. And then also what would it take in terms of submitting approval for getting that out -- getting that product out?
John Trizzino: Yes. So, we would expect for those prefilled syringe impact that we would see that happening later in the second half of the year, specifically in those markets in the Northern Hemisphere. So, I think we would expect to see some reduction in vial size, total amount of doses in vial in Southern Hemisphere, but certainly moving toward prefilled syringe or unit dose vials in the second half of the year.
Unidentified Analyst: And then your [Technical Difficulty]
John Trizzino: RSV. Yes, well, I think, look, it's something that a particularly key interest to us. As we've mentioned before, that technology platform for our recombinant protein nanoparticle as well as adjuvant is robust and beneficial as we're seeing it in our COVID-19 vaccine. We've learned significant lessons over the course of the last couple of years about how to leverage that technology platform. And while there's good data from competition I think we have an opportunity to have even better data given our technology platform in the context of multiple doses and the use of our adjuvant. So, stay tuned for more details relative to RSV in our pipeline.
Unidentified Analyst: Perfect. Thanks for taking the question.
Operator: And our next question will come from Alec Stranahan with Bank of America. Go ahead.
Alec Stranahan: Hey guys. Thanks for taking our question. Just a couple from us. First on BA.5, could you help with draw a line between the pseudovirus GMT response that you showed with the prototype Nuvaxovid for BA.5 to what you saw in PREVENT-19? Just wondering if GMT is declining on an absolute basis and how this may correlate with protection? And similarly, I believe there was also a BA.5 specific vaccine and bivalent in the Phase 3 study that you presented today. So any guidance on when you'd update the market on that data would be helpful? And secondly, maybe one for Jim. Looking at your debt commitments to CEPI and the convertible note as well as potential for repayments to the UK and Gavi, which cumulatively is not a significant amount of cash potentially on the line. Could you just speak to your view on the liquidity heading into next year? I know you're roughly at $1.3 billion now. Thanks.
Jim Kelly: All right, Alec. Listen, thanks for your question. We ended the quarter with $1.3 billion. We are looking forward to February of next year is the time when, of course, our convert, the $325 million, comes due, we feel like we have ample cash flow to either retire that, convert for cash or we'll monitor market conditions, consider what we might do there. When it comes to Gavi, because you mentioned that one, and I think that's an important one for clarification. We received $700 million from Gavi COVAX related initially for an upfront for our commitment, 350 million doses. And then, of course, the other 350 upon approval by the World Health Organization. We do not believe Gavi has any right to a return of that capital. So for that reason, we would put that off to the side. And then, with respect to some of the other puts and take of, call it, potential returns of capitals, we'll continue to provide updates on our cash flow as we guide into next year, but we go into this with great confidence. And our commercial launch in Nuvaxovid and what that means for operating cash flow.
Filip Dubovsky: And maybe just a bit of commentary about the pseudonits. I mean, the data I presented you today is preliminary data. That's being confirmed in a validated assay and we'll have those results soon. And then we'll be more able to compare between the series to BA.5 versus the other subvariants in the prototype. It’s a bioassay. And there's a lot of variability in the results that you can get from that. But still, we are quite pleased to see the lows we got. It was within the levels that are thought to be protected, at least by the NIH clause of protection analysis.
Operator: And our next question will come from Vernon Bernardino with HC Wainwright. Please go ahead.
Vernon Bernardino: Hi, everyone. Thanks for taking the question and congrats on a fantastic revenue quarter. Just perhaps a question for John. You had mentioned one thing that still remains underappreciated, in my opinion, is the advantages that you have for Nuvaxovid as far as storage and distribution. Now thinking down the road, that advantage probably is going to continue to be there. What are you seeing as far as competitors and their storage capabilities and what they're changing and what the market may be thinking as far as down the road in the storage of the mRNA vaccines? And after that, how do you think their capabilities as far as manufacturing, which they had initially been interested in ramping up in these territories that are lower income, might be something that’s helps them up with their commercial viability of mRNA vaccines is changing. Any insight you could provide would be helpful. Thank you.
John Trizzino: Yes. Vernon, good question. As I briefly mentioned in the presentation, we indeed still have a significant advantage in the refrigerator stability of our product. And then, of course, we would be moving to a smaller dose presentation and ultimately to prefilled syringes, which is yet a significant advancement. It's unclear where the competition is going and will remain to see what they're doing. But at least for the moment, we know that they're still shipping frozen multi-dose vials that requires storage vial still before it's used, thawing, and then a fairly short durability -- I'm sorry, stability of product after it's thawed. So, we'll continue to see that advantage. We think for some period into the future. And certainly, into -- for our other partners into low and upper middle income markets where freezer capabilities are limited is an advantage for us as well. So, thanks for pointing that out, and we'll have to keep an eye on what happens with whatever they are able or unable to do with mRNA vaccines.
Vernon Bernardino: And as far as the market dynamic is concerned, are you seeing any difference or changes in the end user as far as their thinking of and storage and perhaps future needs for mRNA vaccines versus yours?
John Trizzino: Yes, I think that's -- our interest in getting to the commercial markets, I think you'll see the health care providers then having some more optionality to access an easier-to-use presentation. And so that's certainly one aspect that we're going to be pursuing in the US and EU markets.
Vernon Bernardino: Thank you.
Operator: And this will conclude our question-and-answer session. I'd like to turn the conference back over to Stan for any closing remarks.
Stan Erck: Thank you, operator. I appreciate the time everybody has spent taking this call. It's been a very big and important quarter for us. We've made a lot of advantages on every front. And I look forward to showing you more of the same in the coming quarters. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.